Operator: Good afternoon. And welcome to the Stem, Inc. Q1 2022 Earnings Call. My name is Tamia, and I'll be your moderator for today. All lines will be muted during the presentation portion of the call, but there is an opportunity for questions-and-answers at the end. [Operator Instructions]. It is now my pleasure to pass the conference over to Ted Durbin. Please proceed.
Ted Durbin: Thank you, operator. This is Ted Durbin, Head of Investor Relations at Stem, and we welcome you to our first quarter 2022 earnings call. Before we begin, please note that some of the statements we will be making today are forward-looking. These matters involve risks and uncertainties that could cause our results to differ materially from those projected in these statements. We therefore refer you to our latest SEC filings. Our comments today also include non-GAAP financial measures. Additional details and reconciliations to the most directly comparable GAAP financial measures can be found in our earnings release. We will be using a slide presentation today. Our earnings release and presentation are on the Investor Relations portion of our website at www.stem.com. John Carrington, our CEO; and Bill Bush, CFO, will start the call today with prepared remarks. Larsh Johnson, Chief Technology Officer; Bob Schaefer, President of AlsoEnergy; and Prakesh Patel, Chief Strategy Officer will also be available for the question-and-answer portion of the call. And now, I will turn the call over to John.
John Carrington: Thanks, Ted. Starting with Slide 3 in the agenda for our call today. I will briefly review our first quarter 2022 results and highlight some of our key accomplishments during the quarter. Then I will review our solid commercial execution. I will also provide an update on how we're managing the regulatory uncertainty in the current market and our progress in managing the supply chain. Finally, I will discuss how we are accelerating market enablement through technology innovation. I will then hand the call to Bill who will discuss our financial results in more detail and provide color on our 2022 guidance and operating leverage. Turning to Slide 4. Today we reported first quarter 2022 revenue of $41 million, which was 166% versus first quarter 2021, revenue came in 29% above the high end of our guidance range for the quarter. And finally, we are reaffirming our full-year 2022 guidance across all of our key metrics. We generated a 9% GAAP gross margin and a 16% non-GAAP gross margin during the quarter driven by additional high margin software and services revenue. First quarter bookings were $151 million, nearly triple the bookings in the same quarter last year. The strong bookings drove our backlog to another new record at $565 million, which gives us excellent visibility into our revenue for the remainder of this year. Should be noted that while this is a seasonal business, the bookings performance is the second largest in company history after Q4 2021, which is typically are largest. Moving on some specific Q1 highlights on the right side of this page. First, recurring revenue and contracted standalone storage projects represent more than 85% of remaining 2022 total revenue at the midpoint of guidance. We believe our customer and market diversification strategy, including growing momentum and standalone storage provides greater certainty into our financial execution. This enables our business to be resilient even in the face of actions such as the anti-dumping and countervailing duty inquiry recently announced by the Department of Commerce. The integration of AlsoEnergy remains on track, multiple tiger teams across all functions are working to consolidate our software product roadmap, identify key cross selling opportunities, and leverage hardware synergies. We expect to book our first cross sell projects in the second half of 2022 with revenue impact in 2023. Lastly, we have secured our full hardware requirements for 2022 and have also started to opportunistically contract into 2023. This represents a strong first quarter of execution and a continued focus on driving operational leverage. Moving to Slide 5, our commercial team is executed well. Despite a challenging macro environment. We have had great success on standalone storage projects, which reduces some of the volatility you see currently in the solar industry. We continue to grow our contracted annual recurring revenue or CARR, which grew to $52 million at the end of the quarter and underscores our software differentiation and customer success. We remain on track to exit this year between $60 million and $80 million of CARR, as more customers adopt our technology. I've charted our teams to realize commercial benefits of a combined AlsoEnergy and Stem offering. Recall that we only have 30% customer overlap between the two organizations, and low penetration of storage into the solar asset base. This provides excellent cross selling opportunities. And lastly, we successfully implemented price increases in the quarter for our PowerTrack software. And we are introducing professional services offerings to complement our energy storage solutions to further monetize the domain expertise within our operations and program management teams. Both actions will enhance our margins and allow us to capture a greater share of wallet from our customers. Moving to Slide 6, as you're aware, the renewable energy industry in the U.S. has been impacted over the last several weeks after the Department of Commerce opened an investigation into the imports of solar cells and modules from four key South Eastern Asian countries. The inquiry focuses on whether those imports are circumventing the anti-dumping duty and countervailing duty orders on certain solar components from China. We're working with our customers to manage any potential impact to project timelines, and engaging with the Solar Energy Industries Association and other forums to communicate our position to stakeholders. To be clear, we do not support additional tariffs on an industry that is integral to meeting climate mitigation and resilient goals. And that supports jobs for hundreds of 1000s of people. As a team, our focus is to manage through risks and uncertainties like the inquiry. And this slide outlines some of the potential impacts. The data was developed by our operations teams, who evaluated each project across the full contracted backlog with our customers to confirm project details and key milestone status. Starting with energy storage. For this year, we estimate over 85% of the remaining 2022 total revenue at the midpoint of our guidance will come from recurring revenue, and contracted standalone storage projects. We do not expect those projects to be impacted by the inquiry. Of the remaining projects that are solar plus storage, we believe virtually all of those customers have secured their solar panels, and we will closely monitor project status. Finally, our business development team continues to assess additional international markets. And as recently announced, we are launching the first virtual power plant in South America, with an expected completion in the second half of 2022. On the solar asset monitoring side, we expect a larger impact to our utility scale or Front of Meter business from the circumvention uncertainty. We are driving greater uptake in behind the meter deployments, in addition to greater international market volumes. Importantly, related to our solar attached business, we expect impacts from this action to result largely in project delays, not cancellations. Underlying demand for solar and storage is incredibly strong. And though project timelines might be hampered in the near-term by regulatory uncertainty, we expect it to bounce back sharply once these issues are resolved. The executive teams at Stem and AlsoEnergy have been active in the renewable energy industry for several decades, and have successfully managed through various cycles of volatility. In addition, we believe our customer and market diversification strategy provides greater certainty into our financial execution. Please turn to Slide 7 for an update on our supply chain. Starting with energy storage. In early March, we lock in the remainder of our 2022 supply requirements to meet our revenue goal and made progress on our supply requirements for 2023. Note, all changes in commodity and freight costs are passed through to our customers. We anticipate the AD/CVD inquiry could lead to additional battery supply availability in the second half of 2022, as it may cause developers to delay solar plus storage projects. We've received incoming offers from hardware suppliers and anticipation of project delays. We believe this may lead to battery price deflation, as suppliers build inventory and bring additional capacity online. We continue to expect battery availability to improve in the coming years. As you see in the graph on the bottom of this page. A recent analysis from WoodMackenzie forecast supply to outstrip demand in 2023 and that gap will widen in the following years. This bodes well for availability and pricing for our customers, which should stimulate additional demand and open new markets. On the solar asset performance side, we are seeing some project delays in the near-term related to large utility scale projects because of the DOC inquiry. As mentioned earlier, we have placed additional focus on the BTM and international markets. And we will also evaluate near-term cost containment measures to protect our profitability. On the permitting interconnection process timelines, our operations teams continue to focus and support our customers to advance their project timelines. We have not yet seen a normalization of these timelines to pre-COVID levels. Now moving to Slide 8, we talked last quarter about driving operational leverage across the business. And this slide highlights that leverage in our technology platform. The investment we are making and our software development team enables growth and margin expansion through capabilities that are designed to quickly scale across all markets. As an example, the flexible market framework of the Athena Bidder allows us to rapidly configure customers, projects and execute trading strategies for participation in multiple wholesale energy markets. This framework will allow our customers higher velocity to enter new markets with minimal additional software development by Stem. For example, we opened the multi gigawatt Texas ERCOT market through capabilities we built to serve our customers in Massachusetts, and New York. Similarly, we activated our first systems in Chile, and will provide support for South America's first virtual power plant with little new software code required. And lastly, we now have access to a powerful and low cost development capability in India. AlsoEnergy's team has built a significant presence in India with software development, customer and engineering support resources that are fully integrated into the global business. We expect this infrastructure to help accelerate the combined Stem and AlsoEnergy product roadmaps with a significantly lower cost profile in the coming quarters. Next, I want to update you on the integration of AlsoEnergy. Please turn to Slide 9. Detailed integration planning is in process with tiger-teams focused on commercial, technology and operations collaboration. Their key focus is driving synergies on the commercial side while not introducing bureaucracy or slowing momentum. The long-term vision is to have a single pane of glass for customers that integrates energy storage optimization with solar asset performance management. The two organizations are taking a measured approach with stage gates to ensure a seamless customer experience. The combined Stem AlsoEnergy platform will create competitive differentiation, as we leverage data on over 32 gigawatts of projects across over 50 countries. We expect this to drive substantial cross sell opportunities with an unmatched set of capabilities and technology edge. Thank you. And now let's turn the call over to Bill Bush, our Chief Financial Officer.
Bill Bush: Thanks, John. Starting on Page 10 with our results for the first quarter 2022. But before I begin, remember that we closed the AlsoEnergy acquisition on February 1, saw results only include February and March financial results from AlsoEnergy for Q1, we reported revenue of $41 million, which was 166% increase versus the $15 million in the first quarter of 2021. Most of the growth came from the storage hardware sales on FTM and BTM partner projects and about $10 million from the addition of AlsoEnergy. We also recognized approximately $10 million of high margin software and services revenue, representing 24% of total revenue for the quarter. The revenue we recognized in the first quarter exceeds our revenue for the entire year of 2020, which underscores the tremendous momentum in the business. Our GAAP gross margin was $3.6 million, or 9% versus a slight loss in the same quarter last year. Non-GAAP gross margin was $6.4 million, up from $2 million or 45% increase in the first quarter of last year due to higher revenues and the increased mix of software and services revenue. On a percentage basis, non-GAAP gross margin was 16% in the quarter versus 13% last year or 23% increase. Our margin has benefited from a greater share of the high margin software and services revenue. That 16% margin is squarely in line with the 15% to 20% guidance we provided in February. One important note, I would like to make here is for investors to refer to the reconciliation of GAAP and non-GAAP financial measures included in the appendix of the supplemental slides. In particular, we have implemented certain adjustments including additional allocations of operating expenses into cost of goods sold for the calculation of non-GAAP gross margin that impacts comparability of these figures. Adjusting for those changes, the resulting Q1 pro forma gross margin would have been approximately 21%. Net loss was $23 million versus a loss of $83 million in the same quarter last year. That swing is almost completely the result of a large non-cash loss in the first quarter of 2021 from the then outstanding common stock warrants, we retired substantially all of those warrants last year, and we do not expect a significant charge like that in the future. And lastly, adjusted EBITDA was a negative $12.8 million versus a negative $3.2 million in the same quarter last year. Adjusted EBITDA was negatively impacted by higher operating costs from additional hiring, personnel related expenses, costs associated with public reporting and related expenses as we continue to build out our teams and advance our technology roadmap to take advantage of market opportunities. Moving from our financial results to the operating metrics on Slide 11, our backlog more than doubled year-over-year, with from $221 million in the first quarter of 2021 to $565 million in the first quarter of 2022. The backlog increased approximately 26% on a sequential basis from the period ended December 31 2021. The largest driver of the backlog increase was the $151 million of new bookings in the quarter offset by revenue recognized during the quarter, as well as some adjustments and amendments to book project configurations. We believe the backlog gives us an excellent visibility into the short and medium-term and particularly the remainder of 2022. Our contracted AUM on the storage side of the business grew from 1.1 gigawatt hours in the first quarter of 2021 to 1.8 gigawatt hours in the first quarter of 2022, that's a 64% year-over-year increase and again driven by our strong execution on the sales and operating side of the business. Our operating AUM on the solar asset performance monitoring side of business ended the quarter at 32.4 gigawatts, which provides a strong foundation for growth in cross selling. We believe that the opportunity to bring the Athena platform to the PowerTrack customers represents a significant cross sell opportunity, as those customers look for additional revenue to positively impact the IRR of their projects. Contracted annual recurring revenue or CARR ended the quarter at $51.5 million. This software metric showcases the importance of the Athena and PowerTrack network and services we offer our customers that drive long-term value. The growth in this metric underlies the transition from a predominantly hardware revenue model to one focused on low churn high margin differentiated software sales. We ended the quarter with $352 million in cash on the balance sheet. As in this quarter, you will see us strategically deploy our cash to secure storage hardware for our customers and drive greater adoption of high margin recurring revenue. Consistent with industry forecasts, we see additional supply coming into the market in 2023 and as a result, expect less cash utilization for supply chain activities in the medium and long-term. In the interim, we are also evaluating other structures to reduce the cash burn associated with our purchases of energy storage systems. Turning to Slide 12, as John mentioned earlier, we are reaffirming our guidance for the full-year 2022. We're off to a fast start. On the revenue side, particularly the $41 million this quarter is $9 million, or 29% above the high-end of our guide, but we are well positioned across all of our metrics for a successful year. Our 16% gross margin for the quarter is in line with the 15% to 20% range. Our bookings are on track and our operating expenses are in line with our expectations. The biggest change in the environment we have seen since we provided our guidance is the Department of Commerce investigation. As John mentioned earlier, the diversity of our customer base in end markets will help buffer some of the potential impact on our results. However, we will also take proactive steps to protect our revenues and profitability including a refocused commercial effort, synergistic selling and the potential cost containment while continuing to invest in people and process the scale our fast growing business. And as John mentioned, demand remains very strong. While the impacts of the Department of Commerce investigation aren't yet known, we expect any potential weaknesses in our solar attached businesses in 2022 will have a catch up effect in 2023. Turning to Slide 13. This graph highlights the strong operating leverage we expect in 2022 with operating expenses dropping to 27% of revenue versus 45% in 2021. We expect this operating leverage will continue in 2023 and beyond, I won't read all of the points on the right hand side, but sufficed to say we're focused on using our existing software tools and personnel to maximize new high margin revenue streams. We expect to leverage the newly acquired international infrastructure to drive technical innovation and velocity especially with our teams in India. We look forward to providing additional details on our financial outlook, as we are currently in the midst of our long range planning process, aligning the entire organization with market trends and growth opportunities. An important component of this process is accelerating, operating leverage and profitability. We plan to provide additional context and discussion of these plans in a forthcoming Analyst Day later this year. Let me turn the call back to John for some closing remarks.
John Carrington: Thanks, Bill. Wrapping up on Slide 14, with our key takeaways for this quarter's performance, we closed the first quarter of 2022 with strong performance and exceptional momentum, positioning us to achieve the full-year financial metrics driven by customer and market diversity. Revenue beat the high end of our financial guidance by 29%. We executed on bookings of $151 million, representing 196% year-over-year growth. The strength of our business is rooted in our differentiated software offerings, we grew contracted annual recurring revenue to $51.5 million. Additionally, our unique capabilities and technology leadership is highlighted in our pricing power. We're reiterating our full-year guidance and believe the value of our customer and market diversification strategy, including growing momentum in standalone storage provides greater certainty into our financial execution. We will continue to closely monitor and manage any potential impacts arising from the solar, AD/CVD inquiry and have secured 100% of the full-year 2022 requirements for energy storage hardware at fixed prices for the benefit of our customers. The integration of AlsoEnergy is on track and we expect to see traction in generating joint booking wins this year. In addition, we are excited by the operating leverage and expanding software development, customer and engineering support, and finance headcount via the recently acquired infrastructure at AlsoEnergy India. We were excited about the momentum specific to ESG initiatives, which we've implemented throughout our organization and would encourage you to reference the Stem website and public disclosures for additional details. In closing, I want to thank our colleagues across Stem and AlsoEnergy. In addition to our customers and channel partners, we continue to be bullish on the growth of this industry and our competitive positioning. The continued focus on execution has resulted another exceptional quarter. We met or exceeded all of our key metrics, which should position as well to deliver on our commitments for the balance of this year and beyond. With that, let's open the line for questions please.
Operator: Absolutely, we will now begin the question-and-answer session. [Operator Instructions]. The first question comes from Brian Lee with Goldman Sachs. Your line is open.
Brian Lee: Hey guys, thanks for taking the questions. And kudos on the strong start to the year. I guess with that as context. Just a couple of questions around the cadence kind of the trajectory here implied by the guidance on some of the key metrics. First on the gross margins, you did the 16% non-GAAP, nice pickup year-on-year as well as Q-on-Q. You're keeping the 15% to 20%. Can you kind of walk us through the thought process, why no real margin expansion implied here for the rest of the year here, even though you started off the year pretty solidly even on a low volume quarter here?
Bill Bush: Hey, thanks, Brian. I appreciate the question. I think with respect to the gross margins, I mean, I think one thing for sure it's true is we are guiding to the full-year in the 15% to 20%. And the first quarter is typically the smallest from a revenue standpoint, quarter of the year. So I think it's a little too early for us to take another look at the guidance from that standpoint. But we're very happy with where the quarter ended up. We think it's a great reflection of a lot of the work that we've been doing on both sides of the business.
Brian Lee: Okay, well, maybe just a follow-up, is it -- if I think about the puts and takes on the margin trajectory? Is it makes, is it cause, like what would keep you prudent? I know, it's early in the year. And you don't have to jump to conclusions, per se on moving these metrics around. But a good start to the year, here you got a lot of volume growth embedded for the next several quarters. I guess, what are some of the puts and takes around, cost expectations, as well as maybe mix that are the key drivers here on the margin view?
Bill Bush: Well, I mean, certainly, the software services are going to be the thing that drives margin higher. I think we've been pretty consistent in talking about that. Yes, I think there's obviously the highest revenue item is on the hardware. And so there's been a lot of movement in terms of pricing, there a lot of supply chain choppiness, which we've -- I think, worked through pretty successfully in terms of getting our supply in place for the full-year. So I think from that standpoint, we're feeling confident about where we are for the year. And we feel very comfortable with, what's going on the solar side, a lot of, I think there's -- what, as we look at that side of the business, we think that and we'll probably, I'm sure there'll be questions about this later on. But we think that that's going to have a relatively minimal impact on us for the year. And so, I think for us, as we look at the full-year, the most important thing is going to be our ability to drive more services into the business, which will impact the margin the highest.
Brian Lee: Okay, fair enough. Last one for me, and I'll pass it on. The nice uptick in CARR again, one of the key metrics here that you're starting the year off pretty, pretty well on. How much of the $51.5 million in CARR came from AlsoEnergy, it sounds like in the release, that was a decent part of it. So just trying to get the mix there. And then you're already at the low end of guidance almost for 2022 year end to 60% to 80%. Maybe similar question, why not as much of a ramp here implied over the next few quarters, given where you're starting off already at the close to $52 million of CARR in Q1? Thank you.
Bill Bush: Yes, so I mean, I think we talked about this in the year-end call, run $24 million was attributable to the AlsoEnergy business. And I think in terms of updating the guidance, I think kind of the same kind of comments a little early, let's get a couple more inning into the game before we start doing that. But I think for us, we feel very confident about where we are from the business, I think the bookings number, as you highlighted is something that, we carefully look towards, and that's reflected, of course, in the backlog, which is a great metric for us in terms of short and medium term performance of the business. So stay tuned for that, and we'll certainly keep you up-to-date as we feel confident about changing numbers.
Brian Lee: Okay, so roughly $7 million organic CARR growth and $24 million inorganic, if I have the numbers, correct?
Bill Bush: Yes, actually a little bit more than that on the Stem legacy side.
Brian Lee: Okay. I'll take the math offline. Thank you, guys.
John Carrington: Thank, Brian.
Operator: Thank you. The next question comes from David Peters with Wolf Research. Please proceed.
David Peters: Yes, hey. Good afternoon, everybody. First one for me is just on back to the strong start on sales in Q1, you originally got it. So I think $7.5 million of total revenues hitting in Q1. But obviously you came in well above that. Should we extrapolate that to me in a year at least trending towards the top end? Again, understanding it's still early? Or was there some sort of timing impacted pulled revenue in the Q1?
Bill Bush: I would say that, and first, thanks for the question. Appreciate that, David. I think it's too early for us to say that, we're going to into the high or the mid-range. All of our numbers are based on the mid-range. And so, I think from that standpoint, we feel pretty comfortable. I mean, I think, in terms of the business itself, we talked about the 85% in the press release. 85% of the revenue on the recurring and in standalone side is pretty well locked in. So we feel pretty comfortable with where we were going to be. But I think in terms of saying, we're going to be at the high end or at the mid-range. We're still very much targeting the mid-range for business from a metric standpoint. I think also you can kind of see that throughout.
David Peters: Great. The other question I had was just related to that. Last I heard from you guys, the bookings target for '22 sounded like it could be on the conservative side, and Q1 bookings certainly look strong, as well ahead of your 20% target. But this was, obviously, before the DOCs investigation. So maybe you could just talk to any updated thoughts there. And has there been a shift at all in FTM versus BTM as a result of all this?
John Carrington: Yes, David, John Carrington here. On the bookings front, we did $151 million. And again, that's nearly tripled the same quarter of 2021. The mix is 90% FTM, and 10% BTM. As you might recall, the fourth quarter was 95% and 5%. From a pipeline standpoint, we're running about a little over 80% front of the meter, with the 12-month pipeline of around $5.2 billion. And that's a record. So we feel very strong about that. And it's really indicative of a couple of markets like Texas and California that have continued to see acceleration. As it relates to some of the AD/CVD issues. I think the most important point in my prepared remarks around this is what Bill just highlighted, which is the fact that 85% of our revenue, that's contracted in hardware and recurring fast revenues, gets us to the midpoint of guidance. So we do feel good about the year. And again, I think it really highlights just the diversity of the focus we've had around diversity of both customers and markets. And we believe it really will help us to continue to provide certainty into the financial execution that we've committed to our shareholders in the street.
David Peters: Great and then last one, if I could just for AlsoEnergy, the PowerTrack, you mentioned you guys were implementing price increases. I mean, we expect that to be incremental to the gross margins, you highlighted initially for that business. I guess in other words, are you able to or something offsetting that at all, are you just able to flex pricing power, given the market position? Thanks.
John Carrington: Sure, David. And I'll turn it over to Bob. It's great to have you on board for the call, Bob. So go ahead and take that one.
Robert Schaefer: Sure. I appreciate that question. So it's Bob Schaefer. So what we see is, we really see this as a, we have pricing power. We don't expect that it's going to impact churn. And further, we've received no negative feedback. So we're excited about that. We really think that, the technology leadership that we have has allowed us to do this, and continue to act as a trusted advisors to our customers.
David Peters: Great, I'll pass it on. Thanks.
Operator: Thank you. The next question comes from Joseph Osha with Guggenheim. Your line is open.
Joseph Osha: Hello, everybody. And let me add my congratulations to the group here. Great, great performance. A couple of questions. First, a slightly more prosaic one. It seems like some of the working capital accounts, inventories, payables all this stuff went up quite a lot. I know some of this is just because you fold it in also, but I'm just wondering how you feel about working capital management as you work through the year is this kind of as high as we're going to see them? Or is there may be some more money that gets pulled into those working capital accounts? And then I have a follow-up?
John Carrington: Yes, thanks, Joe for the question there. In terms of working capital, I think as we look at what happened throughout the quarter and perhaps Russia is that hardware side of the business is growing. So it really reflect those changes that you mentioned, you really reflect the growth and LGIA and EV opportunities. So I mean, I think it's really situated with the amount of investment that we're going to make in hardware throughout the quarter. So I think though, I mean, one of the things I want that we talked about in the release was that, we expect to see lower utilization long-term with respect to these hardware opportunities. So I think that's really where we look at is that, there's there could be some short-term increases but long-term less utilization of working capital for hardware purchases.
Joseph Osha: Okay, but you're still comfortable with the way things are because of working capital and the cash levels and so forth. I mean, it certainly seems like [indiscernible].
John Carrington: Yes, no, we're very comfortable with that.
Joseph Osha: Okay. And then the next question is, if we look at the bookings and we did just touch on the FTM DTM mix there. Obviously, you've got supply security, which is great. But lots of other logistics considerations out there. Just wondering how you're feeling about this kind of bookings, to installation lag that you see in your business, how long is it taking you to actually get the stuff on the ground?
John Carrington: Yes, we really haven't seen a significant modification or change in that part of the business. I mean, we've and I think we've talked about this, where we've run into more problems is the interconnection the permitting side of the business, as opposed to the logistics, and getting it through port. Important to note that, to the extent there are any changes in costing, that is a pass through to customers. So to the extent that we had any of those issues that were affected in higher costs, those were not part of our P&L. But I think that's really where we see that is that the ability to get the hardware has not been the problem for us. It's been much more COVID related delays on the project side.
Joseph Osha: Okay, thanks. And then just a final one, if we look at that composition of bookings, you've talked some of the materials you put out in the past. You've talked about kind of a hardware service breakdown, can you maybe give us some color as to what this current quarter booking number looks like vis-à-vis that breakdown?
John Carrington: Yes, it's really holding even with what we've traditionally said, 60:40 hardware, software. And of course, that does not include the market participation component.
Joseph Osha: Great, okay. All right, thank you very much.
John Carrington: Thanks, Joe.
Robert Schaefer: Thank you.
Operator: Thank you. The next question is from Brett Castelli with Morningstar. Your line is open.
Brett Castelli: Hi, thanks for the time. First question was on the FTM pipeline. I was curious if you can break that out maybe between solar plus storage opportunities and more standalone storage opportunities?
Bill Bush: I'm sorry, I couldn't hear, do you say the backlog or the bookings?
Brett Castelli: The backlog of the pipeline for the FTM business, just curious, a mix between solar plus storage versus standalone storage?
Bill Bush: Yes, we haven't. So first, thanks for the question. We haven't really broken that specifically out that way. I would say what I would offer is that in terms of the backlog, and the bookings still are in the 90:10, FTM to BTM standpoint. I think John and I mentioned in the prepared remarks side, there's a significant amount of standalone storage in our pipeline, which really is what is giving us a lot of comfort for the year given the potential uncertainty associated with the AD/CVD issue. And so I think that as you look at the pipe, excuse me, as you look at the backlog, that is going to be predominantly standalone storage.
Brett Castelli: Okay, that's helpful. And then curious on the storage hardware side in terms of chemistries or new technologies? Are you changing things at all or do you expect any changes there maybe not this year, but more than the medium term in terms of pursuing say new chemistries? Thanks.
John Carrington: Yes, Brett, I'll start and Larsh Johnson jump in, I would say that, what's compelling about both platforms is that we can operate on top of really any storage chemistry. So from the perspective of lithium ion, long duration or others, we could put a top right on top of that. We obviously talked to a variety of battery suppliers. One of the things that you've seen us get more into is LFP, lithium ion still because particularly when it's solar attach, you want that longer duration, longer-term warranty, so we're really focused on lithium ion but Larsh, why don't you jump in with the other thoughts I might have missed.
Larsh Johnson: Yes, I think because of our position in the industry, we've been in contact and are continuously working with a number of different suppliers with different chemistries. And at this point, we're still evaluating how they fit into some of the commercial use cases that are driving a lot of the storage expansion right now, but we certainly see long duration storage, making progress on that front. And so I think we'll be looking to have long duration storage and other chemistries outside of lithium ion within the portfolio, certainly within the next year. But I think it still remains to be seen as a specific which ones are going to make that work. And that all evolves with the use case, that is then underwritten by the bankability of the solution. So we're watching all of that. And I think it's quite promising. So we'll stay tuned, I think.
Brett Castelli: We'll do, I'll pass on. Thank you.
John Carrington: Thanks.
Operator: Thank you. [Operator Instructions] This concludes the Q&A portion of the call. I will now pass the conference back to John Carrington for closing remarks.
John Carrington: Thank you. And I want to thank everyone for joining us on our first quarter 2022 earnings call. We're pleased with our strong execution of meeting or beating on all key metrics. And we will continue to focus on operational excellence, driving software differentiation, delighting our customers and growing revenues and margins. We look forward to speaking with you during our second quarter earnings call and thank you again.
Operator: This concludes the Stem, Inc. Q1 2022 earnings call. Thank you for your participation. You may now disconnect your lines.